Operator: Good afternoon ladies and gentlemen, and thank you for standing by. Welcome to Absolute Software Corporation’s Second Quarter Fiscal 2016 Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. Before beginning its formal remarks, Absolute would like to remind listeners that certain portions of today’s discussion may contain forward-looking statements that reflect current views with respect to future events. Any such statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected in these forward-looking statements. For more information on the company’s risks and uncertainties relating to these forward-looking statements, please refer to the section of its quarterly MD&A. [Operator Instructions] I'd like to remind everyone that this conference call is being recorded today, Tuesday, February 2nd, at 5 PM Eastern Time. I'd like to turn the call over now to Mr. Geoff Haydon, Chief Executive Officer. Please go ahead, sir.
Geoff Haydon: Thank you, operator. Good afternoon, everyone. Welcome to our Q2 fiscal 2016 conference call. Joining me today is Errol Olsen, our Chief Financial Officer. Our results in Q2 reflected the positive progress we continue to make against our key strategic initiatives. These include an elevated level of product innovation, the improved performance of our restructured sales organization, a strengthened pipeline of new customer opportunities, and a clarified focus on helping customers accomplish their most critical endpoint information security objectives in specific, targeted, geographic, and vertical markets. Q2 DDS revenue of $21 million grew 4% from Q2 fiscal 2015. 99% of this revenue is recurring in nature. Commercial ACV increased 1% globally and 2% in North America. This reflected an improved performance in existing customer net ACV retention of 100% globally and a 101% in North America. New customer ACV was over $900,000. Q2 EBITDA of $2 million was down year-on-year. This was due to the removal of the Manage and Service revenue and repurposing of the associated cost to focus on accelerating the growth of our core DDS business. DDS segment billings in Q2 were $19 million, representing a 15% decrease from Q2 2015. This year-over-year performance aligns with year-over-year decrease in North American commercial contracts that expired during the quarter. We also returned a significant amount of surplus cash to shareholders in Q2. We paid a dividend of CAD0.08 per share, representing an increase of 14% from the prior quarterly dividend. We also completed our substantial issuer bid investing CAD50 million to repurchase 6.25 million shares. As we move into our second half, I'm extremely confident the changes we've made to the business strategically, operationally, and organizationally will impact our objectives more positively. This will include accelerating revenue growth and expanding our ACV base. Our product strategy continues to focus on developing our unique Persistence and DDS technology capabilities and applying these to protect endpoints that day-to-day contain and the entry points these represents to corporate networks and sensitive information. Increasingly, we will target the most prominent source of breach vulnerability, the Insider Threat. This references the security risks associated with employees and other insiders, resulting from their malicious or negligent behavior. This also refers to an outsider who has leveraged compromised credentials and is acting as an insider. The Insider Threat represents a uniquely pervasive risk that is difficult to detect and remediate and has emerged as a primary source of vulnerability. It's estimated that over half of data breaches today result from insider activity. Despite its prominence, the Insider Threat opportunity is under-developed with a competitive landscape that is relatively nascent and fragmented. Through our embedded position on the endpoint; Absolute is uniquely positioned to provide oversight and remediation capabilities that will enterprises to more effectively understand and mange this category of risk. In support of this strategy, in Q2, we initiated SCCM repair and Endpoint Data & Discovery beta programs which we're now in the process of completing. The number of devices that have been activated for SCCM Healthcheck and Repair now exceeds 1 million and continues to climb. The repair function provides our customers with the means to immediately resolve SCCM software agent issues we discovered through our Healthcheck capabilities whether a device is on or off a corporate network. We will continue to look for similar opportunities to apply Persistence to other endpoint agents by extending our DDS functionality and through professional services engagements. This Persistence, as a platform initiative, will also involve establishing integration partnerships with other endpoint management and security vendors whose agents would benefit from being persisted. The Endpoint Data & Discovery beta program has also been enthusiastically received by our customers. The ability to identify the presence of sensitive information residing on an endpoint and to combine this intelligence with other device activity observations uniquely elevates our customer's ability to identify and appropriately respond to a security threat. We also continued our progress to integrate Absolute's rich endpoint intelligence in the industry-leading SIEM, Security Incident and Event Management and security analytics platforms. This included most notably the expansion of our partnership with RSA and an announcement of Absolute certification as an RSA-ready technology partner. We have actively engaged in similar partnership initiatives with several other SIEM vendors which we expect to announce in future quarters. Additional product innovation occurred in Q2 in support of our education customer base. These capabilities include web-monitoring for Chromebooks devices, functionality that's releasing in beta with an anticipated launch this fiscal year. With the uptick of Chromebooks adoption within the education sector, web-monitoring capabilities will provide our customers with an important security measure to safeguard students while accessing the internet through these devices. The product and development functions within Absolute have benefited greatly from the new leadership team that's in place. We're enriching our roadmap, shortening development cycles, executing more predictably and delivering marketable features and functions that are driving increased customer adoption and renewal. Our sales strategy will continue to focus on two primary objectives; the retention and expansion of existing customers and the acquisition of new customers. The North American reorganization we executed to accomplish these objectives is now operationalized, stabilized, and fully staffed. Our results in Q2 reflected the increasing effectiveness of this new model. For the second consecutive quarter, our inside sales team performed strongly, eliminating ACV churn and expanding our ACV base within our S&B and enterprise accounts. Our strategic accounts team, which we introduced in July of this year, also performed strongly. The objective of this team is to renew and expand our largest accounts and to drive new business within state and local government and the education segments. Although, the team was in transition during Q1, in Q2 they delivered on all of their objectives. Overall, the increasing strength of renew and expansion efforts is reflected in a 2% ACV increase in North America. The new customer acquisition team’s performance also continues to improve. Their sales pipeline grew by 98% quarter-over-quarter with all of our targeted market segments reflected in the increase. Most importantly, they contributed to almost a $1 million in new customer ACV during the quarter. In Q2, the number of sales representative achieving or exceeding their quotas increased by 16% sequentially. This reflects the progress we’re making in onboarding our newest sales team members. In Q3, we will continue to focus on broadening the base of new customer acquisition performance and accelerating growth in this critical area of our business. Finally, we recently announced the appointment of Sean Maxwell as Chief Commercial Officer. Sean is an accomplished global executive with deep domain experience in absolute key areas of strategic focus. These include information security, software-as-a-service, enterprise accounts, and international markets. Sean has also demonstrated strong achievements in building and leading top performing field organization and successfully executing against new product categories for early stage companies as well as established market leaders. These include EMC, Virtual Instruments, and most recently Symantec. Sean’s charter as the leader of all our field functions will be to optimize the performance of our newly defined go-to-market structure and to drive a more consistent and accelerated level of growth. We continue to concentrate our efforts and investment on a set of geographic and vertical markets that represent the greatest return on investment for Absolute. Our strongest Q2 international year-on-year growth performance occurred in EMEA where we began our international transformation. Progress in Europe included an expanded partnership with Lenovo to provide factory activation of Absolute DDS on Lenovo devices. This will allow our customers to activate Persistence technology on the Lenovo endpoints before they are shipped from the factory providing out-of-the-box security capabilities. From a vertical perspective, we saw progress in Q2 around our efforts to expand Absolute share of the corporate and healthcare markets. 74% of our new customer ACV came from corporate and healthcare customers, up from 36% in Q1. In support of these market development efforts, we continue to invest and building the Absolute brand. In Q2, our lead-generation volume increased by 134% year-on-year. This contributed directly to the pipeline growth I referenced earlier and will enable a higher level of customer acquisition performance in future quarters. In summary, we enter fiscal Q3 with momentum and optimism. We have an increasingly productive field organization, a substantially strengthened leadership team, a materially improved capacity to execute against both our product development and go-to-market initiatives, and a clarified commitment to helping our customers understand and manage a primary source of information risk, the Insider Threat. I expect to see stronger results in the second half driven by continued progress against our key growth initiatives and a larger expiring contract renewal opportunity. I firmly believe Absolute is on a path to realizing our longer term objectives of accelerated growth, improved profitability, and ultimately, enhanced totaled shareholder returns. Now, I’d like to turn the call over to Errol to discuss our financials in more detail. Errol?
Errol Olsen: Thank you, Geoff. Good afternoon everyone. Q2 DDS revenue was $21 million, a 4% increase year-over-year. For the 2016 fiscal year-to-date period, DDS segment revenue was $42.2 million, also a 4% increase year-over-year. Total revenue which includes revenue from assets divested at the beginning of Q2 fiscal 2016 was $21.1 million in the second quarter, an 8% decrease from Q2 of fiscal 2015. Year-to-date total revenue of $45.1 million decreased 2% year-over-year. Within our Absolute DDS segment, our commercial ACV base increased 1% globally and increased 2% in North America. Breaking down that growth, net ACV retentions from existing customers was 100% globally and 101% in North America. In terms of new customer performance, we added $900,000 of incremental ACV from new customers globally. We're pleased with the quarter-over-quarter improvement in existing customer net ACV retention which we believe is an indicator of the increasing maturity of our North American customer retention and strategic account teams. In terms of new customer ACV, while performance has improved quarter-over-quarter, Q2 results are reflective of the relatively short tenure of our North American acquisition team, which was formalized at the beginning of Q1. As we look forward to the second half of fiscal 2016, we expect continuing growth in new customer acquisition as our teams continue to mature and progress pipeline activity. Our adjusted EBITDA for the second quarter was $2 million which was down from $4 million in the prior year. The decrease was reflective of the removal of Endpoint and Service Management revenue while adjusted operating expenses remained flat compared to Q2 of last year. Our adjusted operating expenses for the quarter, which are defined in our press release and MD&A were $19.1 million, down from $19.7 million in Q1 and flat compared to Q2 of last year. The sequential decrease reflects the divestment of the Endpoint and Service Management segment which was partially offset by increased R&D headcount and investment in marketing awareness programs. Our total headcount at December 31st was 411, which was down from 432 at September 30th and was flat with December 31st of last year. Turning now to cash flow. Our reported cash from operating activities was $1.4 million in Q2. However, this figure is net of $1.3 million of transaction cost related to the Endpoint and Service Management divestiture. Excluding these transaction related outlays, our cash from operating activities would have been $2.6 million. This is down from $6.3 million in Q2 of last fiscal year with a difference being due to lower billings in the current fiscal year. DDS segment billings in Q2 were $19 million, a 15% decrease from Q2 of fiscal 2015. The year-over-year decrease was correlated with a year-over-year decrease in North American commercial contracts expiring during the quarter. Commercial billings for North America were $15.8 million representing 88% of commercial billings and down 18% from $19.2 million in the prior year. International commercial billings were $2.2 million, up 5% from $2.1 million in Q2 of last year. Our Consumer business represented 5% for total billings and was up 7% year-over-year in Q2. From a vertical market perspective, billings from the combined corporate and healthcare verticals represented 51% of our total commercial billings for the quarter. Looking now to our outlook for fiscal 2016, moving into the second half of the fiscal year we believe our North American commercial sales structure is now stabilized and we remain confident in our long term strategic plan. Our expectation for 2016 fiscal year is unchanged. We expect fiscal 2016 revenue for the Absolute, DDS, and to Consumer business to increase over fiscal 2015 levels. However, we expect total reported revenue for fiscal 2016 to decrease year-over-year, reflecting the divestiture of the Endpoint and Service Management product segment. We expect adjusted EBITDA for fiscal 2016 to decrease from fiscal 2015, reflecting lower total revenue and a slight increase in adjusted operating expenses over fiscal 2015. We expect cash from operating activities to decrease from fiscal 2015 levels as a result of the slight increase in adjusted operating expenses and relatively flat year-over-year Absolute DDS billings. Our expectation on billings reflects continuing sales productivity improvements as well as a year-over-year increase in our expiring contract renewal opportunity during the second half of fiscal 2016. This concludes our prepared remarks for today. Operator, please open up the call for questions.
Operator: [Operator Instructions] And your first question is from Thanos Moschopoulos with BMO Capital Markets.
Thanos Moschopoulos: Hi, good afternoon. Maybe starting off on OpEx, I think last quarter you guided for mid-single-digit increase this year. Is that all the case or has the Canadian dollar effect that that will make it all?
Geoff Haydon: Hi, Thanos. No, our expectation on OpEx has not changed too much from what we expected a quarter ago. I did guide toward a mid-single-digit increase a quarter ago. It will probably increase a little bit less than that, but foreign exchange rates are not too far off of what we had expected in our previous forecast.
Thanos Moschopoulos: Okay. And as far as the deals that you’re signing most recently is the average contract duration, right now, still sort of three years or is that starting to shorten given your focus towards driving ACV rather than the Absolute billings number?
Geoff Haydon: Sure. We -- there's nothing to suggest at the moment a lower average contract term. We did see a slightly less -- shorter average contract term in the second quarter was just over 35 months compared to historical average of 36 months. But having said that, that’s not unusual. From quarter-to-quarter our average contracts will fluctuate typically between 35 and 37 months. So, we have no reason to believe at this point that the contracts will be shorter going forward.
Thanos Moschopoulos: Great. And Geoff, can you maybe give us an update in terms of your progress in building out the international business and the team there now that North America is lock down?
Geoff Haydon: Yeah. It’s a great question Thanos. I mean our objective, as I mentioned during last quarter’s call, is to replicate the blueprint that we have developed and kind of refined in North America. The most mature version to that is in Europe where we've appointed [indiscernible] we’ve established coverage to the OEM partnerships. We've got somebody covering the distribution and VAR community. We’ve expanded and top-graded our direct sales capacity and we’ve introduced an insight sales capability. We’re in the process of doing that similarly in Asia. We have our [indiscernible] in place now when we process a building out a similar structure which we intend to complete over the next six months. As I’ve said, we don’t expect to see material increases in the performance of the international markets until 2017, but we’re encouraged by some early indicators of progress in Europe this quarter.
Thanos Moschopoulos: Okay. And finally, you've obviously made a lot of Executive hires in recent months. Any key positions left to recruit or is the Executive team for the most part in place now?
Geoff Haydon: It is for the most part. I mean I had indicated during another recent call that we will look to enrich our leadership capabilities around people and culture as well as the appointment of the Chief Information Officer/Chief Security Officer. But in terms of key innovation and execution leadership roles, they are filled and completed now and I couldn’t be more pleased with the outcome, Thanos.
Thanos Moschopoulos: Certainly seems like strong team that you’ve assembled. Thank you. I’ll pass on.
Geoff Haydon: Thank you, Thanos.
Operator: The next question is from Doug Taylor from Canaccord Genuity.
Doug Taylor: Thanks. Good evening. You referenced the billings from three years ago couple of times as one of the hurdles you had to get through this quarter. And as I look to a couple of years ago, it seems to me like the seasonality of billings in Q3 versus Q2 in that quarter was slightly negative. Are you expecting the same dynamic and just a bigger increase in Q4 or am I missing something there?
Geoff Haydon: Hi, Doug. No, we are expecting -- I guess the biggest change this year will be the movement. We mentioned last quarter that there is a large customer deal that was shifted from Q2 into Q3 so that will affect the seasonal trend this year. Q3 typically is our lowest billings quarter of the year and I think that going forward we should expect that, but it will not be quite as exaggerated this year because of the shift in that particular contract.
Doug Taylor: Okay. Fair enough. We talked about the average -- Thanos asked about the average contract length, can you talk about the pricing dynamic as you are hitting these renewals relative to the ACV base?
Geoff Haydon: Sure. We’re not seeing any changes in pricing. We’ve certainly -- a few years ago we did see some pricing compression in the Education segment as device prices started going down or it’s over the last year and half two years, we haven’t seen any changes in our average pricing.
Doug Taylor: And perhaps last question for me. You knew Chief Commercial Officer, Sean Maxwell, I know he is only been in the seat for the month and you've got -- you’re pretty far into a pretty substantial change in your go-to-market strategy, but has there been anything that he has identified since joining Absolute that you might change in your strategy going forward?
Geoff Haydon: Subject to clarify, he started yesterday. So, he hasn’t shared with me anything definitive, but let me just make a couple of statements about Sean. That was a very eventful appointment in our view and the objective was to really enrich our leadership team with DNA and experience that aligns with our next generation of growth and Sean clearly has those attributes. So, its early days in terms of his discovery, but what he is focused on primarily as I mentioned earlier is really understanding, executing, and monetizing the structure that we spent the last year and half building.
Doug Taylor: All right. Apologize. I got my dates mixed up there, but…
Geoff Haydon: No, no, not at all. Thanks Doug.
Doug Taylor: Thank you.
Geoff Haydon: You bet.
Operator: The next question is from Paul Steep from Scotia Capital.
Paul Steep: Great. Thanks. In terms of the product that’s set to ship, what's caused the sort of slide-out in the schedule that you sort of highlighted I guess in Q1 we talked about being early 2016 it will launch, now it’s calendar 2016, are you just being more cautious or has something come up that you want to sort of slide it out a little bit?
Geoff Haydon: No. Just to clarify, we haven’t done any changes in the product roadmap, which is a very positive development from my perspective for the last several quarters. So, we are on track with both -- what we released and to what’s currently in data.
Paul Steep: Okay. Second -- other one that is a bit of reconciliation issue between looking at the documents was -- there was comment about that the sales disruption had continued in early part of this year? Is that -- has it gotten worse or is that just you reflecting the delta we talked about?
Geoff Haydon: No, reference I made, we are done with the disruption. The new organization is fully operationalized, staffed, and stabilized just I mentioned. The disruption I referenced was the Q1 disruption in the strategic accounts team that’s the team that we created on July 1st. It’s a team that manages a lot of our largest accounts and many of those accounts were managed in service customers. So, the disruption in that account base was a function A of the new organization, but also the divestiture. And so we did reference that in Q1 as an impediment to growth, but we did not in Q2 and will not moving forward.
Paul Steep: Okay, great. And then the last one is just -- was the new customer billings in the quarter about $2.7 million?
Geoff Haydon: From a billing standpoint, it was just under that.
Paul Steep: Okay. Perfect. Thanks, guys.
Geoff Haydon: Thanks Paul.
Operator: The next question is from Blair Abernethy with Industrial Alliance.
Blair Abernethy: Thanks. Geoff, I was just wondering if you could take a bit of higher level view on some of these new partnership initiatives that you’re going though. And just give us a sense of where -- if you were to pick one or two, what would be the biggest opportunities for you over the next two or three years, firstly? And secondly, can you give some sense of how we should think about how you're going to price -- or the average selling price of these type of opportunities will be the same as your existing product or will be it different?
Geoff Haydon: Yeah. Good question, Blair. So, high level, the core OEM community that currently embed Persistence in their endpoint devices continues to be a top priority. So, strengthening, expanding those partnerships to new and more devices will continue to remain our primary focus just in terms of partnering opportunities. Secondly, we will look for opportunities to expand that embedded relationship beyond the traditional OEM community to include companies like AMD getting involved in the OEM community in the chipset as a means of accessing a broader community of OEM partnerships and devices. So that is all part of our strategy to make Persistence ubiquitously embedded if you will. Some of the other partnerships that we're focused on include what we refer to as information security ecosystem partnerships where we connect DDS functionality to other technologies that we can enhance the performance out of it; enhance the performance of our solution. The SIEM partnerships are a good example, by enabling an enterprise to consumer endpoint intelligence through an analytics platform to correlate that data against other security feeds where they enriches the intelligence that they can gleam from that data set. So, connecting DDS to other similar type technologies will also be a focus. And the last category of partnerships that I referenced that is emerging in terms of its importance as what we refer to as the Persistence as a platform partnering opportunities and essentially what we're describing there are situations where an endpoint management or security firm has an endpoint agent technology that would benefit from being persisted and what we would look to do is work with that organization to enable them to operate persistent version of their solution.
Blair Abernethy: That's really helpful, Geoff. And in terms of pricing or value, how would you look at saying -- where is the biggest bang for your buck in these areas?
Geoff Haydon: Well, I mean there -- I think all important the Persistence ubiquity ensuring we continue to embed Persistence in endpoint devices is foundational in terms of our competitive advantage in our growth strategy. So, I would submit that that is fundamentally important. But we view all of the categories as representing accretive growth opportunities for the company.
Blair Abernethy: Okay. Okay, great. And just another quick question if I could. The -- Errol the -- on the balance sheet, your cash, just want to confirm the investments -- the long-term investors, $24 million, is that all cash or U.S. debt, what is that?
Errol Olsen: Yeah, the investments are in -- largely high grade corporate bonds and with an average maturity of under two years, about year and a half.
Blair Abernethy: Okay. And given that you still have a sizable total cash balance here, where is the company leading at this point? I mean -- and what's the status of the NCIB now?
Errol Olsen: So, it's active. We are staying the course in terms of our capital allocation strategy which accommodates four dividend, four NCIB activity really from a defensive perspective and enriching our war chest with an eye towards increasing our investment and accelerating growth player. So, no fundamental changes in how we're viewing the capital allocation.
Blair Abernethy: Okay, great. Thanks guys.
Errol Olsen: Thank you.
Operator: [Operator Instructions] The next question is from Michael Kim with Imperial Capital.
Michael Kim: Hi, good afternoon guys. Geoff you talked about the opportunity to capitalize on the Insider Threat use case and also some opportunities to expand the ecosystem for DDS partnerships. Do you see sort of a need to partner with some of the user behavior analytics or data governance, the vendors or how do you see the best opportunity to capitalize on I better?
Geoff Haydon: Michael it’s a really great question. So, yes is the answer. The reality is that DDS today is being largely used by corporate and healthcare customers as an Insider Threat solution. And the functionality that they are centered includes the ability of DDS to observe the activity of the device whether it's on or off the corporate network, to be able to assess the risk of that endpoint, and to be able to remediate that risk. So, categories like UAB really represent an enriched version of that. And if I take a look at our product roadmap and some of the other features and functions that we just introduced in Q2, they align with a couple of objectives. First of all, continuing to expand the quantity and quality of data that we collect from an endpoint, Endpoint Data & Discovery being a good example of that. So, we want to enrich the capacity of an enterprise to observe an endpoint. We also want to ideally inform that data, apply some type of analytic capability to it, so that we can present that data to an enterprise in a more intelligent form. And the SIEM partnerships are largely designed to enable enterprises to do that on their own. And the third area that we're focused on is enriching our remediation capabilities, offering customers different option to immediately remediate a potential developing threat. So, we do see a relationship between what our technology does today and technologies like UBA and we certainly are focused on enriching the capabilities of our solution to provide that type of insider threat value.
Michael Kim: And just to carry that a little further, how should we think about updates joint go-to-market activities? Maybe you could talk any early partnerships or progress?
Geoff Haydon: Yeah, well the SIEM category is the most obvious one because it's been materialized in the form of the relationship with RSA. But we think about any endpoint agent that is susceptible to being attacked, comprised, corrupted, disabled, our ability to persist other complementary endpoint agents we view as monetization opportunity. We also think there's an opportunity just to collaborate with other companies that have security technologies that could benefit from Persistence or from the intelligence that we collect from an endpoint. So, defense in-depth is the way that enterprises are viewing information security and how they approach it. So, what we want to do is connect our technology to as many complementary technologies as possible in the spirit of enhancing the value that Absolute -- DDS bring to our enterprise customers.
Michael Kim: Okay, great. And then just one quick question on ACV from new DDS customers, I mean would that turn by strategic accounts team or -- and if you can provide more color on what's driving the growth in ACV base?
Geoff Haydon: It’s a great question. It’s a combination. I mean the customer acquisition team mostly notably, but the strategic accounts team do have an acquisition shorter, specifically with [Indiscernible] education. We also continue to see new customer acquisition opportunity from international markets. In fact, largely our performance in the international market is a function of new customer acquisition just given the nascence of our presence in Europe and Asia. But now the customer acquisition team certainly played a central role, but it was broad-based contribution.
Michael Kim: Okay, great. Terrific. Good to hear. Thank you very much.
Geoff Haydon: Thank you.
Operator: And the next question is from Richard Tse with Cormark Securities.
Richard Tse: Yes. Thanks. Geoff you talked about the pipeline building up here. Maybe I was wondering if you can give us some color in terms of what markets that you're seeing strengthen from the pipeline.
Geoff Haydon: Yeah, it’s a good question. Well, so -- there are two comments I'll make and one is on the quality of the new customer acquisition performance and the pipeline. We were very pleased to see that corporate and healthcare were so substantially represented in our new customer ACV performance. 74% of that business was from healthcare and corporate customers. When me take a look at the pipeline, we see those verticals disproportionally represented also, because we targeted a lot of our customer acquisition activity at corporate and healthcare customers. The other thing that we're seeing within the pipeline is an increased quality of activity. Very often when we're selling to a large enterprise customer, there are number of things that proceed in actual order. They want to evaluate the technology, they want a demonstration, they want to proof-of-concept and the volume of activity that's occurring within that pipeline around enterprise customers is substantially elevated. So, there's a lot of momentum within that pipeline. But having said that I want to call out the fact that we to see and expect a new customer acquisition contribution from our strategic account team as well.
Richard Tse: Okay, that's helpful. You talked about OpEx, Errol, on the call, I'm just actually curious looking forward at 2017 like under the current cost structure, let's say, for the single-digit increase this year, is that sort of going to be similar next year or should we expect it to increase a bit or decrease a bit?
Errol Olsen: Sure. We're still building out our plan for fiscal 2017 and obviously, we'll be calibrating that against our progress in the back half of the year. So, it's too early to say right now. I can tell you that we currently believe that we do have capacity to growth in our existing go-to-market structure. So, the question is really around how much do we and when do we layer on additional investment to drive growth and going into the back half of 2017 and following year. So, unfortunately, I don't have a hard answer for you right now, Richard.
Richard Tse: Okay. And then Geoff, I think your filings speak to -- little to M&A, maybe you can give us some perspective on what you're thinking on that right now, whether this year is going to be focused primarily on organic growth or that M&A will come-in in next year?
Geoff Haydon: It is predominantly focused on organic growth, but we continue to focus a great deal on determining the best way to deliver the kind of functionality that we aspire to around this Insider Threat category. So, we're really thinking now much more richly in the context of that Insider Threat and observing how our largest and most sophisticated customers are using our technology today to observe and identify and remediate risk around the insider vector and how we can enrich that through both the organic and inorganic investment. And as I mentioned earlier, the focus is on looking for ways to enrich the data collecting capabilities, the number of data points that we can use to observe an endpoint, the ability to translate that data into something that's more intelligent for an enterprise. And finally for ways to more effectively remediate emerging risks. So, there are some very interesting innovative companies within the industry that offer technologies in these various areas and those are the technologies that we would be focused on.
Richard Tse: Okay. And as far as the dividend goes, I think the yield is actually over 5% now, I'm not mistaken. What's your thinking on that, you pretty comfortable with that level, like you plan to change the dividend in any way?
Geoff Haydon: No, we're not planning on changing the dividend in any way.
Richard Tse: Okay, great. Thank you.
Geoff Haydon: Thank you.
Errol Olsen: Thanks Richard.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Geoff Haydon: Well, listen, let me close by saying thank you for everybody's time today, for your interest in Absolute and we look forward to speaking with many of you soon. Thanks again.